Operator: Thank you for standing by for Jupai’s First Quarter 2022 Earnings Conference Call. [Operator Instructions] I’d now like to turn the meeting over to your host for today’s conference, Mr. Eddie Guo, Jupai’s IR Director.
Eddie Guo: Hello, everyone, and welcome to Jupai’s earnings conference call for the first quarter ended March 31, 2022. Leading the call today is Mr. Jianda Ni, our Chairman and CEO, who will review the highlights for the first quarter 2022. I will then discuss our financial results. We will then open the call to questions, at which time, our CFO, Ms. Min Liu, will also be available. Before we continue, I refer you to our Safe Harbor statement in the earnings press release, which apply to this call, as we will make forward-looking statements. Also, this call includes discussions of certain non-GAAP financial matters. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB. I will now turn the call over to Mr. Jianda Ni, our Chairman and CEO, and I will interpret his remarks for you.
Jianda Ni: [Foreign Language] [Interpreted] Thank you, Eddie, and welcome, everyone to today’s conference call. In light of the new asset management regulations officially implemented in China this year as well as the shift in overall investor sentiment, Jupai is committed to complementing with other traditional financial institutions to jointly promote the industry’s development. In 2022, Jupai will continue to focus on the company’s transformation, including focus on compliance and long-term operation, adhering to our customer centered strategy to strengthen our high-quality assets, excellent service and optimize user experience. We will aim at guiding our customers to the best asset allocation by leveraging our capabilities and product strategy. Jupai will continue to focus on our precise key client customization strategy as we implement our asset transparency system, while further enhancing asset allocation transformation based on investor demand and long-term returns. We look forward to sharing opportunities for growth with our investors in this new phase. I will now turn the call over to Eddie to go through the financial results for the first quarter 2022. Thank you.
Eddie Guo: Thank you, Ni. Now I will walk you through our financial highlights for the first quarter ended March 31, 2022. Net revenues for the first quarter of 2022 were RMB32.6 million, a 61.1% decrease from RMB83.7 million in the corresponding period in 2021, primarily due to decreases in one-time commissions and recurring management fees. Operating costs and expenses for the first quarter of 2022 were RMB75.6 million, a decrease of 5.8% from RMB80.2 million in the corresponding period in 2021. Net loss attributable to our shareholders for the first quarter of 2022 was RMB14.1 million as compared to net income attributable to ordinary shareholders of RMB3.9 million from the corresponding period in 2021. Net loss attributable to ordinary shareholders per basic and diluted American deposit share for the first quarter of 2022 was RMB0.44 and RMB0.44, respectively, as compared to net income attributable to ordinary shareholders per basic and diluted ADS of RMB0.12 and RMB0.12, respectively, from the corresponding period in 2021. That concludes our prepared remarks. I will now turn the call back to the operator to begin the Q&A session. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Yuhua Li from UBS. Please ask your question.
Yuhua Li: [Technical Difficulty] We see there is a significant change in the company’s product performance in the first quarter of 2022 compared to the previous quarter. Can management share the company’s strategy and goals in terms of product structure? And how do you see the industry long-term development? Thank you.
Jianda Ni: [Foreign Language] [Interpreted] Thank you for your question. As we enter 2022, China’s economy is facing an increasingly complex and challenging internal and external environment with downward pressure intensified although China continued to see a steady recovery with GDP growth of 4.8% year-on-year in the first quarter of 2022. Domestic and international factors such as the pandemic prevention and control in Shanghai, the ongoing war between Russia and Ukraine, economic and trade tension between China and the U.S. and the interest rate hikes by the Federal Reserve have added new uncertainties and we have seen a significant increase in overall financial market volatility and a high level of risk aversion among investors. In 2022, Jupai will continue to focus on the company’s transformation. As a pioneer in the industry, we have a clear understanding of the fundamental importance of compliance, which is also important to ensure the healthy development of the wealth management industry. This philosophy of long-term operations is the foundation and direction for our stable and high-quality growth in the future as we focus on long-term returns. Secondly, we will adhere to our customer centered strategy and continue to provide value to customers through our strategy of high-quality assets, excellent service and optimized user experience. High-quality assets means that our investment advisers adopt buyer mindset instead of business-oriented and traditional high-yield-driven model in order to help our customers better plan their asset allocation and product portfolios. In terms of excellent service for our pre-investment process, we have formed multi-to-one services based on investor demand, including product customization, financial planning and premium service. For post-investment service, we provide sufficient information and risk disclosure as well as product information updates. Jupai will always remain committed to providing customers with a professional and responsible optimized user experience by offering high-quality assets and excellent service. We remain confident in the company and the long-term development of the wealth management industry. Jupai will continue to focus on our precise key client customization strategy as we implement our asset transparency system, while further enhancing asset allocation transformation based on investor demand and economic trends. We are looking forward to sharing opportunities for growth with our investors in this new phase. Thank you. Thank you, Yuhua.
Operator: Thank you. We have now approached the end of the conference call. I will turn the call over to Jupai’s IR Director, Eddie Guo, for closing remarks.
Eddie Guo: This concludes today’s call. If you have any follow-up questions, please get in contact with us. Thank you.
Operator: Thank you for your participation in today’s conference. You may now disconnect. Good day.